Johan Theron:
Group Executive of Corporate Affairs: Good morning, everybody. Welcome to Impala Platinum's financial results release today. You would have seen the results being released on the web earlier today. It's all in the public domain, and we really do value this opportunity to engage on a one-on-one basis with our investor base. So very, very welcome. Shortly, we will be playing a video, just giving a bit of a context of the year in review. Afterwards, the CEO, CFO and COO will both just highlight some areas over the last year that we can reflect on, before we go to questions. I'll take some questions in the room, but there's also an opportunity for people who are watching us on the web to post questions on the web, which we'll read out and answer as best as we can. And then on Chorus Call as well, you can call in and obviously ask questions. So we'll do it in that way. And then hopefully, in an hour or so, we could be able to wrap up. So very, very welcome. And with that, let's start. [Presentation]
Nicolaas Johannes Muller: From my side, good morning to everyone, all the Implats people, market observers, friendly faces, the team sitting in front of us, all of the people that have contributed today. A special word of welcome to our Chair, Advocate Thandi Orleyn. I hope this will be a moment of interesting sharing of information. I'm very happy to stand here at the beginning of our 2026 financial year in slightly better times from what we did the 2 previous years. And if you look at the journey of the PGM prices over the last -- well, since the beginning of 2023 calendar year, it has been range bound between 24,000 -- or ZAR 24,500 and ZAR 25,000. It has been our view that it was slightly disconnected from the market fundamentals. We had in our company determined deficits in all the metals, but it was global economic factors. The geopolitical conflicts, high inflation rates, therefore, high interest rates that has created a downward pressure on the metal prices. And also the behavior of the people who are buying the metals, Emma can talk more on that. And now in a slighter of voice, I will use the exact same factors to explain why the prices have increased. Because the world is still volatile, the world is still uncertain, everything is still demo car, but yet we have seen this 30% increase in price. I think that there are 2 factors that we can lean on to explain that. One is, as a consequence of all the uncertainty, the record high gold price at around $3,000, but then, therefore, gold fatigue and perhaps an opportunity for investing in another precious metal, platinum, which is seen as a massive discount, a record discount relative to gold. And combined with that, the change in trade relationships and the need to secure supply lines, particularly with relation to critical minerals such as PGMs, which is only produced in certain regions in the world. So we've seen some physical stock moving out of Europe to the U.S. and to China, so fabricators in Europe that requires metal for their inventories are finding slightly less physical liquidity. And we think that, combined with the discount to gold, has created some upward pressure. Therefore, we have seen a 30% increase in the spot price, which now, for our company, is at around ZAR 32,200 per 6E sold. In addition to the global economic factors, we have seen downward revisions in primary supply. We have seen suspensions or deferments in many projects. I mean, if you go in South Africa, Bokoni, Eland with Zizwe. We got in North America, our own north -- Impala Canada, we've seen announcements of reductions in supply from Stillwater. And even in Russia, where we've got the Southern Cluster that has been suspended or deferred. So generally, from a supply point of view, you have seen forecasted lower ounces being supplied. And the same applies to secondary supply where because of the longer life of vehicles, there's been a shortage of inventory to recycle. And at the prices, the economic incentive for recycling was muted. And therefore, we have seen a lower secondary supply. And on the demand side, we, as always, see continued downward projections for EV penetrations. We have, for the first time in the last decade, seen an upward momentum in, in particular, Chinese jewelry manufacturing. And even in the industrial side, for instance, in glass manufacturing, we've seen a return to a higher uptake of rhodium. So if you look at the market fundamentals, there are some positive moves in market fundamentals, which provides us with confidence that the PGM metal price for the next 12 to 18 months, at least, will be sustained at the rates that we see it. So given this backdrop, if you look at what the company's focus has been over the last 2 or 3 years when we had this range bound metal, it was a defensive strategy. So let me just go a step back. During the higher price environment, we announced a ZAR 50 billion capital investment program over 5 years, and we utilize that to strengthen the business. We increased the capacity of -- so we had 2 bottlenecks in the company, one was the smelting capacity and the other one was the base metal refining capacity. We launched projects. Both of them have been completed successfully. During that time, we secured Bafokeng adjacent to our Impala assets, so we created a long life for a critical asset in our company. And so I think the company invested effectively to strengthen the long-term business position. Then we had the downshift, and then, the company was focused on creating a lower cost position. So last year, our cost increase was 5%. This year, it is reported at 7%, which is factually correct. I just want to touch on that. If you look at the actual -- absolute cash costs, it increased by only 3% to ZAR 60.3 billion. And the reason why the unit cost increased by 7% is by virtue of production. 6E production declined by 3% to 3.55 million ounces. So it's a combination. So I think from a control of cash cost, operating cost, we did very well. And then on top of that, if you look at the capital expenditure, which reduced by 50% from ZAR 14 billion to ZAR 7 billion. If you then combine all of that cost into an all-in cost, we actually achieved a 3% decline in all-in cost, down to ZAR 25,700. And so this has been part of the strategy is to reduce operating expenditure to curtail capital investments. Fortunately, we have been able to complete a number of the major projects. We also made decisions to suspend or defer some of the projects such as the Two Rivers Merensky project, Marula Phase 2 project. We even went as far as changing the operating strategy at some of our assets, such as Impala Canada, where we ventured into a high-margin operation and thereby reducing the life to 1 year. In addition to this, we completed a portfolio review so that between the Board and the management team, we knew exactly how to respond if the low-price environment continued, or God forbid, even declined. So that was all done. And so fortunately, we can put that in the shelf, but we do have a response plan to react further from a portfolio point of view should we be confronted with a low- price environment. And so that's sort of how we ended off at the back end of our 2025 financial year. So when I look at the road going ahead, we're now in a very strong position. I initially spoke about the ZAR 2.4 billion in cash, that's great. Our gross cash, ZAR 11.6 billion, if you take off debt. Net cash, ZAR 8.1 billion, with 420,000 ounces of excess inventory that can be released, but we are very careful and conscious, and we're trying to be responsible in terms of how that is released into a low- price environment. I mean, we saw significant destocking in the industry last year to a tune of between 400,000 and 500,000 ounces. And so we will -- in our journey going forward, we'll be conscious about the impact of our excess inventory release into the market, and we have lowered our guidance from around 130,000 ounces per annum to 110,000 ounces per annum. But we believe that we are going to go into a period where we will be cash generative, and we will be in a position to effectively allocate the capital to strengthen the business, to reward shareholders and to ensure a continued healthy balance sheet. So if you look at the dividend declaration that was made this morning, we are paying ZAR 1.65 per share, which amounts to ZAR 1.5 billion, and that equates to 58%. They say circa 60% of our total cash generated, which is way above the 30% of cash that we have previously concluded as part of our policy. And the reason for that is that we believe we have a strong balance sheet that we can further grow over time because we are confident about continued cash generation. We have concluded or suspended most of our capital programs. So we do not have a huge investment requirement. And so I think over the next 1 to 2 years, I see -- I think you are going to see an allocation of capital, which is going to be heavily biased towards shareholder returns. So in line with our strategy to have stable operations and to focus on strong cost control, you can see all the metrics on production is more or less aligned. It's within 3% of last year. And I will go to the bottom line to say the all-in cost reduced to -- by 3%, in the financial stuff we've already spoken about. So on my last slide, I would like to conclude, just explaining why I think Implats is a very strong value proposition. If you just look structurally at the company, we are an integrated producer. So that offers several advantages. One, the ability to optimize processing capacity with various sources of ore is beneficial and can be optimized. As an example, during the course of the past year, we rerouted 50% of Mimosa concentrate to be smelted at the newly commissioned 38-megawatt smelter at Zimplats. And in doing so, we have avoided the additional export levy on unbeneficiated concentrate. So that's the kind of flexibility that it offers the company. The second thing, if you're an integrated producer, it puts your marketing team in direct contact with customers. So not only do we have access to the market analysis, but we also have face-to-face contact with key customers that consumes our metal. And so that puts us in this very strong position to guide our internal strategies towards the requirements of our customers long term. We are geographically diversified. We operate in every PGM jurisdiction other than Russia, North America, Zimbabwe, South Africa, and in South Africa, Eastern Limb and Western Limb as well as Northern Limb so that a diversified geographic representation combined with our leading processing capability. And by leading, I mean, 2 things, and we are the second largest processor, but we are very cost competitive, and we've got very high levels of recovery. So the fact that we are in a number of jurisdictions combined with our processing capability and the fact that we've got excess capacity as things stand at the moment, puts us in a position where we are exposed to every new opportunity that happens within the industry, whether it's in Zim, Karo's, GDI; South Africa, our own Waterberg, even potentially Ivanplats, puts us in a position where we can leverage into our strengths -- our structural strengths, and either can convert that into offtake agreements or, as we have done in the past, into equity positions into these projects at the time that they become viable. In addition to that, if I just look at company DNA behavior, I do think that we have shown that we are responsive to the market. During the upside, we spoke about the ZAR 50 billion capital investment program and the strengths that we created through that investment program, alleviating of the critical bottlenecks, securing Bafokeng and so forth. And I do think that we have proven ourselves to be prudent allocators of capital. 50% of our free cash flow over the last 5 years have been allocated to shareholders. We have got a very strong balance sheet, and yet we've been able to increase the internal strength of the company. And as I said earlier, lastly, if I look at the company from a financial muscle point of view, the balance sheet, the ounces, the 30% increase in metal prices, the company has got the financial means to follow its ambitions and to create further strength for the next 10 to 20 years. And we absolutely aim to do that, and in doing so, create superior shareholder value propositions. That's my story. I will hand over to Patrick to run through the details. Thanks.
Patrick Morutlwa: Thank you, Nico. Yes. Let me start with safety. The safety of our employees remains central to everything we do as Implats. About 12 months ago, we reported about our new 8-point safety plan. And I'm glad to announce that we see that translating into meaningful reduction in our injury rates. So you will see for the year, we have seen 11% reduction on LTI frequency rate and also about 15% on our recordable injury frequency rate. Yes, we have suffered 8 fatalities in the year. So we still have to see this improvement translating into a meaningful reduction in number of fatalities, but I believe that this plan, as I say, is only about 12 months old. As we keep on embedding it, I believe we'll start to see the reduction also in number of fatalities. So we remain resolute and firm in our belief that as a company, we can operate without any fatalities. During this period, there were also some green shoots that also confirms that we are on the right track. We have celebrated 18 white flag days. A white flag day is a day where all 60,000 of our employees come to work and return home unharmed. So we believe if we can do it for a day, we can do it every day. And also, if you look at our operations, 6 of our 7 operating assets were fatal free, some of them actually more than 12 months and counting. And even when you look closer at the Western Limb, where the 8 loss of life happened, 6 of the 12 operating shaft has been fatal-free for some time. So there is enough green shoot that tells us if we continue with this work, we should be able to see this work translate into meaningful reduction in losses of life and life-altering injuries. Our area of focus remains embedding our safety first culture. A lot of work has been done in this area, but I'm the first one to admit that a lot still has to be done. As you all know that changing the culture is not something that happens over a certain period of time. It's a multiyear process. But we are committed to see through because we're doing it for our employees and all our stakeholders. We continue, again, to focus on our top 3 risks; being fall of ground, winches and also machinery. 75% of the loss of life incurred in FY '25 actually come from these 3 key risks. And lastly, on safety, we are also starting to acknowledge that what happens outside the mine gate has a direct bearing on what is happening inside the mine gate. So we're starting to look at the mental health of our employees, really focusing on psychological safety. In the same way, we are focusing on physical safety of our employees. So we're putting in place in our practices, procedures and also facilities for our people to be able to consult when they have got mental health issues. And we've seen that there's actually a good uptake on those facilities that we are providing for our employees. Moving over to production, as I said earlier, both our mining and processing operations have delivered a commendable production and cost performance for the year. And this follows a proactive portfolio and labor interventions as a response, obviously, to the weak PGM pricing that we have endured for the year. So during the same period, our teams had to navigate more than usual rainfall, which affected some of our operations, and serious disruption to our UG2 supply, mainly at our refineries. But despite all this, you see that all our operations have delivered a steady performance. So even after adjusting our operating strategy, we have managed to deliver on our key deliverables. Styldrift, in particular, have been able to ramp up production by 9%. We reached sustainably 200,000 tonnes a month May and June and even in July and also in August. We are still remaining above 200,000 tonnes a month. That is 87% of the mine capacity that we're ramping towards. We are still confident by FY 2027 Styldrift will reach its full name capacity. Impala Canada, by us, focusing on high-margin ounces, as previously communicated, has been able to generate positive free cash flow despite lower palladium price. Bihma mine, one of the -- our new mines in Zimplats has now reached full production, which is about 3.2 million tonnes a year, in ounces about 270,000 ounces a year. And lastly, when I stood up here about 6 months ago, I did say that we are doing a lot of work at Marula. And if we don't see the change, we'll have to take tough decisions. So we have restructured Marula, started Phase 2 project and also went on the second retrenchment, where we've got about 600 people out. So Marula, as we speak now, we are now building the pit room, giving ourselves 2 years to do that. And after 2 years, then we'll have to look at the decision to reconsider Phase 2. As I said earlier, when I look at our processing division, we took a conscious decision to bring forward the rebuild of furnace #3. When we took that decision, you'll remember, it's just after we have commissioned Zimplats furnace, so we had additional capacity to do that. And you will see that until the end of February, we're still able to release our ounces. So this decision was taken for -- in terms of the safety of our people and also to safeguard the integrity of our assets. The refineries -- at the back end of Phase 2, that's when we had all utility disruptions, coal, because of the rainfall water -- from the rainwater board maintenance and also hydrogen supply. All this together, they've actually just locked up about 230,000 ounces, which means that what we reported at the start of the year, excess inventory of 390,000 has gone up by 30,000. We are going to be releasing this over the next 4 years, responsibly, making sure that we take advantage of this buoyant market that we see now. In line with our ambition to be carbon neutral by 2050, we have commissioned this project, 35-megawatt Phase 1 solar plant at Zimplats. And as previously communicated, we've also approved the 45-megawatt Phase 2 solar at Zimplats. We've also signed a 5- year contract with Discovery Green to provide 90% of our energy requirement for the refineries for the next 5 years. Our ESG efforts have not gone unnoticed. We have also been included in the S&P's Sustainability Yearbook for now 4th year running. In line with our purpose of creating a better future for all our stakeholders, we have also spent over ZAR 230 million in our communities to build sustainable and thriving communities. In the process, we've created 3,700 jobs and 61,000 people stand to benefit from this work we do in our communities. So in short, as Nico said, we believe as a company, we are ready and really geared up -- our operators are geared up to deliver into this buoyant market. Thank you very much.
Meroonisha Kerber: Thank you, Patrick. So despite really good cost containment, which Nico talked about, and navigating through some operational challenges, particularly the processing -- the constrained processing availability at our refineries and the impact that it had on our sales volumes, overall profitability and free cash generation was impacted by the flat rand PGM pricing, but also the impact of inflation on our costs. In our earnings for the year, there were some several material items, which I'll just touch on. Firstly, we ended up expensing the capital at our Impala Canada operations of about ZAR 500 million. This is in line with our accounting policies as the mine reaches the end of its life. We had restructuring costs of ZAR 635 million for the period, which includes a provision for severance packages at Impala Canada. And lastly, we had some ex-gratia and ESOT-related payments of ZAR 620 million in the earnings for the period. All of this resulted in EBITDA declining to just under ZAR 10 billion and our headlines at ZAR 732 million for the period. Notwithstanding the pressure on profitability, we still delivered -- very pleased, we delivered a free cash flow of ZAR 2.4 billion for the period. So our cash flow clearly benefited from the receipt of a concentrate debtor, which was delayed in the previous year, which we received in this year, but also benefited from our much lower capital intensity, as Nico has spoken about. All of this fortunately offset the impact of the buildup on inventory that Patrick talked about, the 30,000 ounces, and the impact that it had. Unfortunately, that happened in the last quarter of the year. As a result of all of this, our gross cash increased to ZAR 11.6 billion, but we also had a slight increase in our gross debt, net of the PIC loan. Our gross debt increased to ZAR 3.4 billion, and that was as Zimplats' access about ZAR 700 million of additional funding to secure the completion of its furnace. All in all, our net cash position improved, from the ZAR 6.9 billion in the previous year up to the ZAR 8.1 billion in this year. And this, together with the undrawn revolving credit facilities, we have provided the group with liquidity headroom of just under ZAR 20 billion. I guess, looking forward, and Nico has talked about it, but when I look at the results and I look at the business going forward, from a financial perspective, I really do think that the company is well positioned to capitalize on the market. Given the portfolio and restructuring decisions that we've made, the normalized levels of capital intensity that we have going forward, and the ability we have to be able to further strengthen and invest in our business, but also the excess inventory of 420,000 ounces, which not only provides us with operational flexibility to manage any disruptions we have at our processing assets, but also supports the generation of free cash flow in the short to medium term. If I then move on to capital allocation, after consideration of our strong balance sheet and liquidity position, really our confidence in where the business is at the moment as well as the supportive market conditions, the Board did declare a dividend of ZAR 1.65 per ordinary share, and that represents a payout of about 60% of our adjusted free cash flow, which as you know, is double our minimum payout ratio. I believe that this, together with some of the portfolio and restructuring decisions that we've made in the last year, basically demonstrates our disciplined capital approach and also our prioritization of returns to shareholders. I guess, lastly, I'd just like to touch on our guidance and outlook for the year. The first one is really around refined guidance. You'll see our refined guidance is between 3.4 billion to 3.6 billion -- sorry, million to 3.6 million ounces for the period. This does reflect improved processing availability at both our Zimbabwe and South African operations, but also the phased release of our excess inventory, in line with our revised operating and maintenance protocols at our furnace. The next one that I'd like to touch on is really Impala Bafokeng. I'm very pleased that we're lifting the guidance in this year to 500,000 -- to 540,000 ounces. This reflects the progress we are making to ramp up Styldrift to its steady state, but also our expectation of improved performance at BRPM. You'll see that we've lowered the guidance for Impala Canada, down to the 170,000 to 190,000 ounces range. This really just reflects the change in operating strategy, which will see our Impala Canada operation cease at the end of this financial year. You can see that we've got Zimplats returning back to its normal steady-state levels. And given the work that Patrick and the team have done, we expect Marula to have increased stability going forward. If I could touch on the capital guidance first, so the ZAR 8 billion to ZAR 9 billion, you'll see, is higher than the ZAR 7 million that we spent this year. Included in the ZAR 8 billion to ZAR 9 billion is about ZAR 8 billion of sustaining capital, which does include the second phase of the solar at our Zimplats operations. Given the supportive market conditions and after providing for basically sustaining capital for the group, we have made room to allocate further capital to life of mine extension projects that will basically be value accretive to the group and meet our internal hurdle rates. Lastly, on the unit cost guidance, you'll see the midpoint of the range really is reflective of our expectations of inflation for the year and the top and the bottom end, basically, whether we deliver at the top or the bottom end of production. With that, I'd like to hand over to Johan. Thank you.
Johan Theron:
Group Executive of Corporate Affairs: Meroonisha, we're going to Q&A now. So we'll have an opportunity first in the room, and then, I'll go to the call. I can see there's already 3 people that have cued themselves for calls there. So I'll hand over at some point to the facilitator to do that. And then, also, on the webcast, I'll be able to receive your typed questions, and hopefully, we have time to also do some of that. There will be some roving microphones in the room. So let's start. I can see a couple of hands here in the middle. Just state your name so people on the call can also hear who's asking the question. [ Harold ], please. Did I give it away?
Unidentified Analyst: [ Harold ] from Absa CIB. I've got a couple of questions. One is around the ex-gratia payment. If metal prices have gone up, the outlook is most likely improved. Do you expect further such payment in the future? And I guess, tough question, but do you know if there's an expectation from your labor force to continue with such kind of payments? I guess, that's the first one. I want to maybe just explore the maintenance and rebuild of the furnaces. It's been a couple of years now that processing has been either interrupted through planned or unplanned maintenance. Is this becoming a theme? And, Nico, you're talking about interventions, what exactly are these interventions? And can we bank on stable processing in the future? And then lastly, maybe a more strategic question. If I look at your CapEx guidance to 2030, it's actually going down in real terms, you're talking about we are confident in metal markets and metal prices. But yet, after 2030, your production at the lease area could -- looks like it could decline quite quickly, if I look at your reserve and resource statement. So how do I marry those things? And is there some CapEx maybe after 2030 that we should be aware of? How do you -- do you even plan to sustain production at the lease area?
Nicolaas Johannes Muller: So let's first talk about the ESOT payments, ex-gratia. We do have Lee-Ann here. Is it possible to hand her the mic?
Johan Theron:
Group Executive of Corporate Affairs: Yes. We should get a microphone, absolutely.
Nicolaas Johannes Muller: Because she's the architect behind these payments, but she also will comment on the structural changes that we have made to the ESOT to prevent ex-gratia payments on an ad hoc basis.
Lee-Ann N. Samuel: Thanks for the question, [ Harold ]. So we have redesigned or restructured the ESOT to bring in another mechanism, more like a supplementary mechanism to the ESOT, which is a gross profit after tax, and we've reviewed it in line with market practice. So we looked at what Sibanye, Northam and the companies within our peer group is doing. I think what's important to note around the ESOT is that we introduced the scheme in 2014. And since 2014, I think the first dividend payment that was made was around 2020-2021. So our workers had worked for many years without getting any economic participation in the ESOT. And unfortunately, because of the cyclical nature of our business, we had to think about how do we create a smoothing mechanism in times when Impala doesn't declare a dividend. So we've now implemented a gross profit after tax, which is aligned to the ESOT, which is also 4%. And the ex-gratia payment was made in light of the implementation of this supplementary measure. So going forward, we don't believe that there will be additional ex-gratia payments, but around expectations around receiving something in terms of a dividend or profit share is there, and we're continuing to engage the union on it. But we believe that this additional mechanism now will negate the need for ex-gratia payments. Thank you.
Nicolaas Johannes Muller: Thank you, Lee-Ann. And our technical expert, Patrick, will talk to the change in mineral flow into our smelters, how that has affected the acidity of the mats, the influence it has on the erosion of the bricks, and therefore, the redesigns and everything that is required. Pat?
Patrick Morutlwa: Thank you, Nico. So I think you'll remember that we did say that there was a change in our blend -- in our feed blend into our finances with more -- which is much more corrosive material. And at that time, we also said we were doing some studies, also taking lessons from the designs of our new furnace in Zimplats. So high level, the things that we're doing in terms of changing the design, we're lifting our tap hole to protect the hearth. We're increasing the cooling. And also, we're looking at different refractory bricks that will be able to sustain this corrosiveness of our blend, but also we change in terms of maintenance regime. So we have now rebuilt furnace #3 incorporating these changes. December, it will be furnace #4. And sometime next year, it will be furnace #5. Then, all our Rustenburg furnace will be on a new design. Maybe let me also add that in terms of the release of the excess inventory, it was not a capacity issue, it's more of a timing issue. Like I said earlier, even with furnace #3 down, we'll still be able -- we're still releasing the material as planned. It was when we had furnace #3 down, and then, we had a tap hole repair of furnace #5. Now literally, you were left with 1 furnace in Rustenburg. And then obviously, when the furnace started running, we had that confluence of utility disruptions at the refineries. There again, we do have capacity, but we just didn't have the runway to catch up what we've lost. So I guess, high level, that's what we're doing on the furnaces.
Nicolaas Johannes Muller: And lastly, the CapEx guidance. So if I break it down as well, I'll say our guidance is roughly ZAR 8 billion per annum going forward. And if you look at the composition of that, 95% of that, in all years, is SIB. It makes no provision for expansion or replacement. And that's just by virtue of the time period that we constructed this guidance. When we did the business planning, it was done at a low-price environment. It does not account for, for instance, life extension projects and leasing and so forth. The only replacement or expansion capital that it provides for is around ZAR 500 million for [ Mopani ], Bihma for the next 2 years and then that concludes. And then thereafter, it is in -- it becomes almost 100% SIB, except for the very last year of 5 years out where we bring Portal 10 in Zimplats in. So I think, [ Harold ], that there's every chance should the increased metal prices remain that you will see a revision in capital ambition for the mine and that you will see some life of mine extension projects being added to the existing projects, as well to the existing capital profile, but the one that we've given so far excludes any potential for that. The one area where I think it probably doesn't apply. Two Rivers, we spent over ZAR 5 billion on capital. So if we were to initiate with our partners the Two Rivers Merensky project, it does not require the initiation of a big capital chunk. But for the others, just the guidance that we've given, it excludes any life of mine extension projects. And you are right. If you look at the end of our 5- year window, we do see a production decline at the lease area. But I think given the ore body, the ore reserves we have, there's every opportunity for us to extend that.
Johan Theron:
Group Executive of Corporate Affairs: Next question? Do you have a microphone? There's one on your other side.
Arnold Van Graan: It's Arnold Van Graan from Nedbank. Three quick ones. So the first 2 is related to the processing as well. So why is it taking so long to get the metal out? It's 4 years now. It feels to me, previously, it was 3 years, maybe I'm wrong on that. Just give us a sense of why so little metal each year. And then just the corrosiveness, sorry if I missed that, but where does that come from? Or what's the change there? And then one for Meroonisha. You mentioned some life of mine extensions on the CapEx. Can you just give us a sense of which shafts or assets will get that, so we can form an idea of how that profile could look?
Nicolaas Johannes Muller: So can I talk to the first point? And then, the corrosiveness of sulfides, that's more technical for you or for someone that actually knows the answer, and you can take on the last one. So this year, there were 3 factors -- every year, there are factors, as you correctly pointed out. And largely, the way to see it, it latches on to [ Harold's ] earlier question. We have had unexpected deterioration of life of the refractories of the furnaces generally, not only Implats, but generally the industry because, I mean, if you follow other companies, you'll find that they had similar issues. So let's agree that we probably as an industry should have responded much earlier to the change in ore blend going into the furnaces, propensity for higher proportion of UG2 relative to Merensky. And so I think we are now catching up to that. In this year, in particular, there are 3 things that contributed. The furnaces, I think, is the least of it because we -- so we've made a decision to pull the rebuild of #3 earlier by 7 months. Now, we did it in December. At that time -- so we could have possibly gotten away with doing things later, but it was a time where there was a significant destocking of metal in the industry, and we felt it appropriate to utilize that time to rebuild the furnace. But it's not the furnaces that created the constraint. We had 2 other events, the one and the one feeds into the other one. The one is that we had an issue at Mimosa, where we could not agree with government the export levy because we had given undertaking that 50% will be taken to Zimplats. And so we elected to discontinue the dispatching of concentrate from Mimosa until that issue was finally resolved. And that happened so that we discontinued in February, and I think we started dispatching to Zimplats in March -- April -- May. Okay. And by the way, when you look at our excess inventory, it's -- so when we talk to the market, we declare a closed system. It's purely the smelting and refining complex in Rustenburg. So when we have inventory buildup at Mimosa, it doesn't count as inventory because it's concentrated at origin. But then in the last quarter, Sifiso decided to have heavy rains in -- and I mean, so we had quite a lot of flooding incidents. And so as a company, we had to make a choice. When we had this unseasonably high rainfalls, we have got 2 choices. We can either allow the heavy rainfalls to go into our water treating facilities. And it was so much rainfall that it will spill out of that, so it will create an environmental incident. So that was the one choice. The other choice was to increase the water in our reagent circuits and thereby dilute the reagent circuits impacting on the efficiency of the refining process. We opted for the second choice to prevent an environmental spillage because ESG, whatever incident, is important. So it was that combined with -- as a consequence of the heavy rain, our coal supply being wet, and we had a disrupted hydrogen supply from Sasol. So we had at the back end of the value chain in the last quarter, this operational disruption is quite unusual for us to have the refinery as the key constraint. And at the same time, we all of a sudden had this dispatching from Mimosa with the stock that is generated. And so therefore -- so for this year, the lack of release is purely a timing issue because if you look at where the inventory is kept in the value chain, it has moved from the smelters, which has normally been the constraint, down to the refinery. And so I do not believe that we are going to sit with inventory buildup. I think that there will be an inventory release fairly early. We've now done the stock take, so we are now in the process of taking it down. I think you will see an inventory release. We're also getting a better handle on the furnaces. Okay. That's a long answer. Furnaces?
Patrick Morutlwa: No, the question was about the corrosiveness. I think you've touched a little bit on that, but I will expand. You will remember that, I mean, when we started our furnaces in Rustenburg, it's just predominantly Merensky, we used the base metal ore from Zimplats to dilute that. But now, all of that will then go to Zimplats. So we're now left with UG2 that is corrosive by nature. And hence, we're now redesigning our furnace to accommodate that. There will be less of this diluting base metal, which -- material from Zimplats. So it is the UG2 that's causing the corrosiveness.
Johan Theron:
Group Executive of Corporate Affairs: Any further questions in the room before I go to Chorus Call?
Meroonisha Kerber: Sorry. I think maybe just -- Arnold, I think you asked about the life of mine extension. So the ones that we have at the moment, Nico has talked about Marula, that we could do Marula, and we're looking at doing Marula in probably smaller phases to give Marula a life extension. At Rustenburg, I know had 14 shafts, they are looking at a project that potentially, at these prices, will pass our internal hurdle rates. At Two Rivers, Nico has alluded to the fact that basically we've incurred all the capital for the Merensky plant. So really, it's the mining that we would need to allocate money to, and that could be up and running fairly quickly. So those are the obvious ones that are on the table.
Nicolaas Johannes Muller: And maybe just to add to that subject to us concluding final negotiations with Valterra, there is also a cross-border opportunity. For instance, at 20 Shaft, we have the ability to mine into instead of 2, so between 6, 8, 20 cross-border opportunities, there are also for life of mine extension opportunities there, which we generally do not -- we've not been public about life extension opportunities there.
Johan Theron:
Group Executive of Corporate Affairs: All right. I also want to give an opportunity on the Chorus Call, so I'm going to hand over to the operator there. I see there's already 3 people that have queued. So can I hand over to Chorus Call to just take some calls off the call as well, please?
Operator: The first question we have comes from Chris Nicholson of RMB Morgan Stanley.
Johan Theron:
Group Executive of Corporate Affairs: Chris, can you hear us?
Operator: Apologies. It seems Chris' line is muted. The next question we have comes from Adrian Hammond of SBG.
Adrian Spencer Hammond: Nico, just 2 questions. I'll start with the first for now. Just on the inventory that you've got in excess of 420,000 ounces, to me, that sounds like a lot of metal. Where is that metal visibly located? Is it in concentrate form because it's quite a sizable amount?
Nicolaas Johannes Muller: Let me answer that question. The inventory that we declare does not include any inventory held at source or at the mine. So to the extent that we have got fresh stock, broken or underground, in silos or passes, even concentrate stockpiles at the mines, that's not included. The only time that we include inventory that is part of our calculation is whether it's either in concentrate form before the smelters, so to be processed, but it must have been delivered to the smelters. It's either the concentrate before the smelters or it is work in process inventory in the smelters or it is mat that has been delivered from Zim to the refineries or from Rustenburg to refineries. So it's in mat form ahead of the refineries or as work in process in the base metal and precious metal refining. So that's a closed circuit that we declare. And so that's it.
Johan Theron:
Group Executive of Corporate Affairs: Yes. I just had the pleasure of our team working with the external auditors, touching and recording all of that metal. If you've got some free time, you're welcome to join us, Adrian.
Adrian Spencer Hammond: That would be a picture of it. Must be a lot of concentrate.
Nicolaas Johannes Muller: Not a lot of concentrate.
Johan Theron:
Group Executive of Corporate Affairs: It's more the refinery. Now remember, we said that it's actually moved from the furnaces into the refinery. So it's actually down the value chain.
Adrian Spencer Hammond: Okay. Second question, on the CapEx profile that you've given us on Slide 39, I'm impressed with your flat profile going forward. And most of your peers are increasing CapEx just to stand still, but you have a flat to almost declining sustaining CapEx profile. How confident are you that, that is what's required to stay still at least? Or is it fair to say that the strategy has somewhat changed for the group where you perhaps enter your half with that and that is the decision you made?
Nicolaas Johannes Muller: The way I would interpret that is that is a capital profile that is linked to the current life of mine profile of the business. You have to read the 2 combined. Now -- and as I said, Adrian, the capital profile converts to almost an exclusive stay-in business capital. So there is no life of mine replacement or expansion posing to the debt. Now, there is every possibility that if the metal prices hold or improve, that you are going to see a reinvestment in the business. So to the extent that we do not enter into new life of mine projects or expansion projects, you are going to see -- if you follow the life of mine profile, there is a life of mine profile decline that starts in year 6 from this year, and that is true. In order for us to reverse that, we always talk about what is the incentive pricing for new projects. At the moment, it's premised on the fact that in the long run, the market generally is aligned, but the industrial balance goes into a surplus. And so in order for us to make this reinvestment, we need to see scenarios where there are supply corrections, be it primary or secondary, demand improvements that will yield the returns over the life of these life extension projects. Now, we are not saying that, that won't happen. But to the extent that we do, as a Board, as a company agree to that, we will come to the market, and we will revise the capital. But if you wanted to model the company, and we included a CapEx profile that was misaligned with the current production profile, then you would have calculated incorrect returns, and therefore, your model would have yielded wrong results. So we will do 2 things. We will -- to the extent that we approve these projects, we will advise of a revision in capital. And at the same time, we will revise of a change in life of mine profile because those 2 things have to happen together, if that makes sense.
Adrian Spencer Hammond: Yes. That's clear. And just -- I mean, it's interesting because your deficits, you painted a strong picture for higher prices. And yet we sit in South Africa with a long lead time to bring new ounces to production. So as a group, how do you -- what sort of margin -- free cash flow margin do you require to go to your Board and say, you need to -- this is enough for us to -- or incentive for us to reinvest?
Nicolaas Johannes Muller: That's the age-old question about incentive pricing. And -- I mean, there's no singularity. There's no single correct answer because it's not a single price. But let me say this, if we had metal prices at spot right now, ZAR 32,000 -- ZAR 30,000 to ZAR 35,000, that surely will provide sufficient. So if we, as an industry, are confident that, that is the price that will hold and that will appreciate along with inflation, so I believe that, that is sufficient margin to create an allocation of capital that will reward shareholders adequately and will provide reinvestment opportunities within the business. So I think that we are there or there about. The question -- and so, Adrian, you were talking...
Adrian Spencer Hammond: Yes. That's more than I have thought.
Nicolaas Johannes Muller: Yes. So as I say, I think -- I mean, so the spot is -- right now is roughly ZAR 32,000. From ZAR 35,000 on, I think that you have sufficient operating margin to incentivize, but that has to be not the spot of the day, it must be the spot of the day with an expectation that it will hold true going forward. And so you're talking about deficits. So -- I mean, if you follow the analysts, now it depends on whether you look at industrial balances or full balances, including jewelry and so forth. But at the moment, consensus are that we're coming out of a period of market deficits, but that -- and these deficits will perhaps hold for the next 2 or 3 years, but long term, it goes into a surplus. And therein lies the insight that is required for -- yes, in companies like us and the other PGM producers is to develop an understanding of long-term pricing because it's -- and when we develop these projects, you'll -- I mean, it's long -- it takes a long time for these ounces to come to the market, and you better make sure that the prices at the end yield the kind of economic returns that was intended when the project was approved.
Johan Theron:
Group Executive of Corporate Affairs: Unfortunately, time is only going to allow us one more question. So I'm going to close off with the next question. I see there's 2 more questions on the web and 2 more analysts on the call, but we will reach out to you and make sure that we answer whatever questions you have. So operator, if we can end with Nkateko, who I see is the next lined up for a question.
Operator: Of course. The last question we have comes from Nkateko Mathonsi of Investec.
Nkateko Mathonsi: I actually have a follow-up question on the -- on your smelter maintenance problem as a result of the corrosiveness of the UG2 concentrate. Look, by 2027, my assumption is that you will get concentrate from Royal Bafokeng Holdings. So are you changing the maintenance program to address the UG2 corrosiveness that will, in any case, be addressed where you actually get 50% of concentrate from Royal Bafokeng Holdings? And then my other question is actually while prices having improved, specifically flat to down, how are you and your JV partner now thinking about Two Rivers Merensky project and that decision to place it on care and maintenance? And then lastly, if you can also talk to the Bafokeng, the Impala Bafokeng assets and the integration with Rustenburg and the synergies, if there are still any synergies that you see with that integration, especially as you are guiding to actually [indiscernible] by FY '27?
Nicolaas Johannes Muller: Thank you, Nkateko. Can we start getting a mic to Adelle? Because there's a lot of questions about UG2, sulfides and corrosiveness and so on, so Adelle, I don't know if you can prepare your expert answer on that front, that will be fantastic. Let me address the Two Rivers Merensky -- sorry, Patrick, I mean I should probably pass to you, but I mean that's a fairly easy one. There are 0 capital barriers to reinstate the Merensky. We have to equip 2 levels. We've already got the fleet. It's a matter of appointing teams. I think that there is a very high likelihood that the Two Rivers Merensky project, which is currently going through an evaluation process, will be launched should prices remain. I think it's almost a given that, that will be the easiest opportunity for us to bring to bear with our partners. We're going through the valuation process. I would be very disappointed if there is no outcome on that. As far as the Bafokeng is concerned, so -- Lee-Ann, you got an opportunity to speak to, but Moses has been sitting here without having said anything, if we can ask Moses potentially to just talk about how the integration consolidation is going and what synergies you see in your path?
Moses Motlhageng: Yes. Thanks, Nico. And thanks for the question. And I'm also glad that you -- we've mentioned that we are on our way to reach a steady state for Styldrift in 2027. Regarding the synergies, perhaps there are 2 that we've already reaped the rewards and it's on the recovery side, on the processing as well as on the restructuring side since we've consolidated and combined the leadership and blended as one asset. Perhaps on the recoveries, just remember that when we took over the assets, the recoveries in those plants were sitting at 79%. As we speak today, we are sitting at 83%. So already, you can see that the leadership that we put in there, the experienced team that we've put in there started to yield on the recoveries from the synergies point of view. Perhaps there are 2 other synergies that will still realize in the near future. The amount of work that we are putting through just after the consolidation, and we've earmarked some certain amount of money that probably will have to be saved. And it's mainly because of the integrated team from the structural point of view and from the leadership point of view as well. And lastly, Nico speaks a lot about on the CapEx with regards to what will unfold if the price stays the same. And he spoke a little bit about 20 shaft extending perhaps into Styldrift depending on how we are going to unfold that work because it's currently on the feasibility study as well. And then there are other 2 projects that we will probably talk about it next time perhaps when we sit here depending the price stays the same. If the BRPM not and those declines, there's also potential that we can extend those declines into 20 shaft as well as the 8-shaft block, which actually will assist us a lot. Remember, maybe lastly, I can close it off to say 6 shaft was about to close in 2 years. Then with regards to us integrating, we are also seeing opportunities, which we'll most probably talk about when the time is right. Thanks, Nico.
Nicolaas Johannes Muller: Thank you. I think lastly, if you can ask Adelle to perhaps explain the change in ore blend, UG2, sulfides, corrosiveness, and then our response from a maintenance point of view and rebuild and redesign.
Adelle Coetzee: Yes. Thank you. Thank you, Nico. Coming back to the question in terms of the Impala Bafokeng, we will be receiving 50% of that material from August 2027. That is not only Merensky, it is a blend of Merensky and UG2 concentrate that we will receive. Going forward, in our profile of the feed to the furnaces, our UG2 content in that feed plant will go up consistently year after year, increasing the corrosiveness and the way we have to manage our furnaces. We must always remember that concentrates from the Great Dyke has doubled the amount of base metals compared to our Merensky concentrate. So it's not a direct replacement. And we will never be able to replace the base metals by substituting with Merensky. And that is the reason we are busy currently redesigning our furnaces to cater for a more corrosive blend that will go into our furnaces, make our infrastructure more robust, making sure that our blending system into the furnaces is of such a nature that we can consistently blend to cater for our feed into our furnaces. So we will follow a holistic approach going forward, looking at the blend to the furnaces, minerals associated with that and then cater for the necessary expertise to handle the change that we will see coming very soon.
Johan Theron:
Group Executive of Corporate Affairs: Thanks, Adelle. Apologies, Chris and René on the line, we will reach out and make sure we answer whatever questions you have, and Kulani and David on the webcast as well. I can see the 2 questions. We will definitely get back to you. But then it just leaves it for me to thank you all for attending today. There is an opportunity now outside as well to spend some time with the team, maybe have a cool drink or 2. And then the rest of you, I'm hoping to meet up with you soon over the next 2 weeks or so on the road. Thank you very much.